Operator: Hello. This is the Chorus Call operator. Welcome to the Entravision Communications Corporation Fourth Quarter and Full Year 2011 Earnings Conference Call. [Operator Instructions] For your information, today's conference call is also being recorded. At this time, I would like to turn the conference call over to Mr. Walter Ulloa, Chairman and Chief Executive Officer. Sir, you may begin. 
Walter Ulloa: Thank you, Jamie. Good afternoon, everyone, and welcome to Entravision's fourth quarter 2011 earnings conference call. Joining me today is Chris Young, our Executive Vice President and Chief Financial Officer; and Philip Wilkinson, our Chief Operating Officer. 
 Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is a property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Entravision Communications Corporation is strictly prohibited. 
 Also, this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC in a Form 8-K. 
 We are pleased with our financial performance during the fourth quarter and for the full year. Our results reflect the ongoing stabilization of the advertising markets, the strength of our brands and our ability to successfully execute our strategy. During 2011, our television and radio assets continued to rank among the leading platforms in delivering Latino audiences. We also took steps to further enhance our interactive capabilities and are continuing to capture growing and highly engaged audience across our online and mobile platforms. Our outlook remains strong, given the ongoing growth for audience and their increasing place of importance and influence in the U.S. economy and political environment. 
 Turning to our financial results for the fourth quarter, our consolidated revenue was $50 million, down 1% versus the same period in 2010. Excluding political and retransmission revenue from the fourth quarter of 2011 and 2010, fourth quarter core revenue was up 5%. Operating expenses increased 4% to $32.1 million in the quarter. Consolidated and adjusted EBITDA decreased 14% to $14.3 million versus the fourth quarter of 2010, and free cash flow decreased to negative $1.8 million. 
 Turning to our financial results for the year, our consolidated revenue was $194.4 million, down 3% from 2010. Excluding political revenue, incremental World Cup, Census revenue, the absence of our major annual concert, Reventon, and retransmission revenue from last year, revenue was up 2% for the year. Operating expenses increased 2% to $125.1 million in the year. Consolidated adjusted EBITDA decreased 15% to $55.5 million last year, and free cash flow decreased to $5.9 million. 
 Turning to our television division, total revenue was up 1% in the quarter. Excluding retransmission fees, our television revenue fell 1% during the fourth quarter. Excluding retransmission fees and the impact of higher political advertising revenues last year, core television revenues increased 8% during the fourth quarter. Local revenue grew 15% and national revenue was down 15%. Adjusting for the 2010 Q4 political billing, local TV revenue was up 19%, while national was down 3%. 
 Our ad category performance during the fourth quarter was led by automotive, which finished up 37% for our TV group. We continued to experience strong momentum in automotive as the fourth quarter represented our seventh consecutive quarter of double-digit growth for television. The largest auto advertisers during the quarter were Dodge, Chrysler, Jeep, Ford, Toyota and General Motors. For the year, the automotive category grew an impressive 28% to represent 19.2% of total 2011 television revenue. We remain cautiously optimistic about the continued growth of the automotive category in the early stages of 2012, as pent-up demand has pushed auto unit sales estimates into the 14 million range and the fact that inventory issues for Toyota and Honda have transitioned to a focused effort on recapturing lost market share. 
 In fact, the automotive category across our entire media platform remains strong, as we move through the first quarter, with automotive for our television group pacing at plus 39% through February. Another strong sign for automotive is how broad the growth has been within the tiers. In the fourth quarter, we saw growth in all 3 automotive tiers, including plus 51% growth in Tier 1, plus 37% growth in Tier 2 and an increase of 31% in Tier 3. 
 In addition to the automotive category, the television division experienced growth in a total of 6 of our top 10 advertising categories in the fourth quarter, including services, retail, healthcare, fast food and media. 
 Softness during the fourth quarter was led by telecom, which was down 40%, as a result of declines in advertising from industry leaders, including AT&T and Verizon Wireless. The telecommunications category finished 2011 as Entravision's sixth largest TV advertising category, representing 8% of total billing for the division. 
 Other declining categories in the quarter were travel and leisure, down 5%; groceries, down 4%; and product brand names, down 15%. We successfully added 28 new advertisers who invested $10,000 or more in the fourth quarter. New clients for our television division included Mazda Southeast Dealers Association, HealthSpring, CareMore Health Plan, Callan Law Group, and California Hospital Association. 
 Turning to our radio's performance, our Univision affiliates extended their ratings leadership positions in the November 2011 sweeps. Among all adults 18 to 34, our key demo regardless of language, 8 of our Univision affiliates ranked #1 or 2 sign on to sign off. Additionally, 7 of our Univision affiliates were either 1 or 2 among all adults 18 to 49. 
 In our duopoly markets, 8 of our TeleFutura stations are the #2-ranked Spanish-language television station in their market in adults 18 to 34 and adults 18 to 49. During our Prime Time Novela Block, our Entravision Univision affiliates were either 1 or 2 in 8 of our television markets, and the performance of our newscast continues to be stellar, with 10 of our early local newscasts ranking #1 or 2 against all television competitors regardless of language. 
 Our network news had another outstanding survey, with 12 of our Univision national newscasts ranking #1 or 2 regardless of language. And in late local news, 9 of our Univision affiliates were ranked #1 or 2, again, regardless of language. 
 In Entravision markets combined, our Univision and TeleFutura affiliates aired 45 of the top 50 Spanish-language programs among adults 18 to 34, and 44 of the top 50 programs among adults 18 to 49 and 46 of the top 50 programs among adults 25 to 54. The #1 Spanish-language program in the Entravision markets in the fourth quarter was the annual -- was our annual blockbuster music awards show, the Latin GRAMMYs. 
 At our radio division, revenues were down 6% in the quarter. Local revenue decreased 1% and national were down 16% compared to the fourth quarter of 2010. During the fourth quarter of 2010, we booked approximately $1.2 million in non-returning political revenue. If we exclude political revenue from the fourth quarter of 2011, our core radio revenues increased 1% in the fourth quarter versus the comparable period in 2010. 
 For the year, our radio division revenue was down 7% compared to 2010. During 2010, we booked approximately $1.5 million in incremental World Cup revenue, approximately $2 million in political revenue and approximately $700,000 in Census revenue. This represented over $4.1 million of non-returning revenue for our radio division in 2011. 
 In addition, we did not conduct our Los Angeles market's Reventon Super Estrella concert during the third quarter as we had in 2010. The concert in 2010 generated $1.1 million in ticket revenue. If we exclude the aforementioned approximately $5.2 million of non-returning radio revenue, our radio performance for 2011 was flat. 
 We recorded revenue growth in the fourth quarter in 3 of our top 5 categories. During the quarter, the automotive category was our strongest category, finishing up 34%. If we break out the auto category, we see an increase of 88% in Tier 1, Tier 2 went up 37% and Tier 3 grew 20%. The Tier 1 growth comes mainly from Toyota, who spent $391,000 with us in the fourth quarter 2011, compared to 0 spending in Q4 of 2010, and from the Ford Motor Company, which was up 172% in the fourth quarter 2011. 
 Tier 2 growth came from a 200% increase from the Southern California Toyota dealers. In addition to automotive increasing by 34% for our radio group, other top ad category spending during the fourth quarter were services, up 14%; retail increased 16%; travel and leisure declined 14% and fast food restaurant was down 7%. 
 Telecommunications continues to negatively affect our radio revenue as it did our television revenue. As in previous quarters, where Verizon decreasing 40% and AT&T electing not to advertise in the quarter. This was offset partially by increases from T-Mobile, MetroPCS and Cricket Communications. Overall, the telecom category was down 22% in the fourth quarter for radio. 
 For 2011, our top 5 categories for the year were automotive, services, travel and leisure, retail and fast food restaurants. Top advertisers for the year were McDonald's, Anheuser-Busch, O'Reilly's, Ford and T-Mobile. The strength of the automotive category continues in 2012, with approximately 50% growth in automotive through February for our radio group. 
 In the quarter, we added 22 new radio advertisers who spent more than $10,000, which in total, represented $467,000 in revenue for the quarter. New advertisers included Jim Beam, Northwest Outlest, Club Galaxy, WinCo Foods, Care1st Health and KO Brands. 
 On September 2, we entered into a syndicated radio programming agreement with one of the hottest Mexican regional recording artists in the country, Jenni Rivera, who has sold over 22 million albums in her illustrious singing career. This partnership allows Entravision to not only broadcast the program on our Tricolor and our El Gato stations in El Paso and Los Angeles. It also allows L.A. artists sell in-content advertising through a separate network. We also have the right to syndicate this program beyond Entravision Radio stations. Contacto Directo con Jenni Rivera currently airs Wednesdays, mid-days and we're pleased with the initial results. Among adults 18 to 34, against all competitors regardless of language, Jenni's show is among the market leader in this time period. 
 Besides our syndication deal with Jenni Rivera, we also have entered into 2 other syndicated radio programming agreements. One was Oswaldo Diaz, our first -- our very talented afternoon drive host of the Erazno y Chokolata show and the other was Sony Latin Music for a weekend countdown show and also for a number of proposed webisodes that follows a selected artist for 4 weeks leading up to the Latin GRAMMYs. 
 Los Angeles is always a key focus for our radio division in our Super Estrella format. One of our cornerstone stations is up 4% in total audience average share over the prior quarter and José KLYY-FM's share is up 14% in adults 18 to 34. 
 In the fourth quarter of 2011, our Los Angeles radio cluster generated an 8% increase in total revenue. Entravision's L.A. radio cluster continues to perform much better than our peers. According to the year end revenue data from Miller, Kaplan, the Spanish language radio sector's total revenue for the fourth quarter decreased 1% versus our 8% increase for our L.A. radio cluster. Our Los Angeles revenue growth continues to be propelled by our local revenue from our 3 Spanish-language formats in the #1 radio market in the nation. Throughout the year, we have established new incentives and initiatives that have motivated our sales staff, such as our realigned sales teams and a continued focus on new direct business. 
 National sales continued to be not as robust as the first half of the year. Because of this, we have implemented strategies with LER to further target differences in our cluster formats, and we are aggressively targeting advertisers who, we believe, still spend too much time on our competition by providing integrated marketing solutions and leading with idea-driven strategies. 
 Our L.A. radio cluster again leads the radio division in digital sales and expects to continue the trend. This digital revenue number has not taken into consideration the incremental share of radio dollars absorbed by our L.A. radio team as a result of putting together creative advertising and marketing solutions for local and national advertisers. We generated ratings growth in a number of markets and time periods for our radio division. Entravision Radio reaches -- reached 42% of all Hispanic adults 18 to 34 for the second consecutive quarter. 
 Moving over to our interactive and digital initiatives. These are becoming an increasingly important component of our sales platform and delivering multiple new avenues for growth. The investments we have made in our digital capabilities allows us to offer compelling, multi-platform advertising opportunities that leverage the strength and reach of our core radio and television assets across key new channels, such as online, social media and mobile. These integrated advertising opportunities allow clients to reach and engage our audiences across multiple touch points, which is both supporting client retention, while also attracting new clients who are eager to implement integrated marketing campaigns. We continue to make significant progress with our interactive and digital initiatives. Our interactive revenues have grown for 14 straight quarters, including 31% revenue growth in 2011 versus 2010. 
 The launch of our new TV websites has also allowed us to greatly increase the amount of video content we publish online. We are now publishing 10x more video online than we did in 2010, including over 5,000 local news video stories each month, which appear on our television and radio websites and across our mobile platform. By increasing the amount of our digital content, we have been able to steadily grow our online audience. Consolidated visits across our entire digital network increased 20% during the fourth quarter, following 25% growth during the third quarter. 
 In addition to growing our visitors, we are also facilitating deeper engagement across our online properties. We streamed 4 million hours of content during the fourth quarter, up 25% compared to the same period last year. For the full year, the number of hours of streamed content increased 40%. We finished 2011 with 4 million active listening sessions and delivered 300 million audio impressions, an increase of 30% and 40%, respectively compared to 2010. 
 Busca, our local Latino digital marketplace, continues to deliver impressive growth. Since Busca's launch, we have secured 751 new clients and generated more than $1 million in revenue from our Busca digital marketplace. 
 One major area of focus for Entravision in 2011 was social media, where our efforts focused on building a strong following for our station websites via Twitter and Facebook. We finished the year in excess of 300,000 followers on our social media channels, which represents growth over -- which represented growth over 300% compared to 2010. 
 During 2011, we also made a number of investments in our mobile capabilities, and we are now running mobile campaigns and managing Latino mobile communities for a number of advertisers, including Chevron, Jiffy Lube, Pizza Hut, Live Nation, Coors Light, Budweiser, State Farm and McDonald's. We also had our best mobile quarter ever. Mobile revenues increased 160% during the fourth quarter and finished the year up 91% compared to 2010. 
 All in all, we continue to make great progress with our interactive and digital initiatives and are focused on furthering this business during 2012 as we launch new initiatives in the areas of display advertising and paid search. We're delivering a steadily growing and engaged audience across key digital platforms, including online, social media and mobile, and we continue to utilize this multi-platform audience to deliver new, unique and robust advertising opportunities to our partners and making our traditional broadcasting business more compelling, complete and integrated. 
 As we look at the 2012 first quarter, we continue to see positive trends across our core radio and television assets. Our core advertising categories including -- excluding political and retransmission fees, continued to improve, pacing plus 8% for our television group and plus 2% for our radio group through the just-completed February. 
 In conclusion, we are encouraged by the trends in our core radio and television businesses and are focused on leveraging our strong audience share and expanding digital assets to drive growth in 2012. We remain well-positioned across key U.S. Hispanic markets and are poised to capitalize on the rapidly expanding U.S. Latino population. And we have a strong portfolio of assets in key swing states for the upcoming elections, including Florida, Colorado, Nevada and New Mexico. 
 Our ability to offer integrated advertising campaigns that leverage our core strengths and utilize our online and mobile platforms is providing a number of additional growth opportunities, and we will continue to prudently invest in our digital capabilities over the course of this year. 
 I'd like to add in closing, that despite a slow start to our political revenues for 2012 as a result mostly of the Texas primary moving to the second quarter, we remain bullish about our prospects for strong political revenues in the year. Based on all of our research and the information we have assembled and reviewed, the Latino voter electorate in the 4 swing states where we have solid media clusters will have a substantial impact on the outcome of the presidential election in November. 
 I will now turn the call over to Chris Young for a financial review. 
Christopher Young: Thank you, Walter, and good afternoon, everyone. And as Walter has discussed, net revenue for the quarter was $50 million, down 1%. Operating expenses increased 4% to $32.1 million, and consolidated adjusted EBITDA decreased 14% to $14.3 million. Net revenue for the year was $194.4 million, down 3%. Operating expenses increased 2% to $125.1 million, and consolidated adjusted EBITDA decreased 13% to $55.5 million. 
 As we announced in our 8-K filing during the fourth quarter of 2011, we repurchased $16.2 million in aggregate principal amount of our 8 3/4% senior secured first lien notes due 2017 in open market transactions. We also declared and paid a special cash dividend of $0.06 per share to shareholders of our Class A, Class B and Class U common stock during the fourth quarter of 2011. The total amount of cash disbursed for the special dividend was $5.1 million. 
 Net revenue for the quarter was down 1% to $50 million compared to $50.6 million in the same quarter last year. TV revenue net was up 1% to $34.1 million for the quarter, compared to $33.8 million in the same quarter of last year. Radio net revenue was down 6% to $15.8 million for the quarter, compared to $16.9 million in the same quarter of last year. The decrease in net revenue at both divisions were primarily attributable to the decrease in political advertising revenue, partially offset by an increase in local advertising revenue and retransmission revenue. Excluding political and retrans revenue, core TV advertising revenue was up 8% for the quarter. Excluding political, core radio advertising, revenue was up 1% for the quarter. 
 Net revenue for the year was down 3% to $194.4 million compared to $200.5 million in 2010. TV net revenue was down 1% to $131.5 million for the year, compared to $132.6 million in 2010. Radio net revenue was down 7% to $62.9 million for the year, compared to $67.9 million in 2010. The decrease in net revenue at both divisions was primarily attributable to a decrease in national advertising and non-recurrence of advertising revenue from World Cup in 2011, compared to 2010 and a decrease in political advertising revenue, which was not material in 2011, partially offset by an increase in retransmission consent revenue. 
 Excluding political, incremental World Cup, Census and retrans revenue, core TV advertising revenue was up 3%. Excluding political incremental World Cup, Census and revenue from a large Los Angeles promotional event during the third quarter of 2010 which did not take place in 2011, core radio advertising revenue was flat for the year. 
 Retransmission consent revenue for the quarter was $4.3 million, compared to $3.6 million in the same quarter of last year. Retransmission consent revenue for the year was $17.1 million compared to $13.7 million in 2010. 
 Operating expenses for the quarter were $32.1 million, up 4%. Excluding noncash comp expense, operating expenses for the quarter were $31.6 million, up 5%. The increase was primarily attributable to an increase in salary expense as a result of partial restoration of employee salaries in 2011 and expenses associated with our Lotus Entravision Reps acquisition in January of last year. 
 Operating expenses for the year were up $125.1 million, up 2%. Excluding noncash comp expense, operating expenses for the year were $124.1 million, also up 2%. The increase was primarily attributable to expenses associated with Lotus Entravision Reps. Excluding expenses associated with LER, operating expenses would have been flat year-over-year. 
 Corporate expenses for the quarter were down 42% to $4.3 million, compared to $7.4 million in the same quarter of last year. The decrease was primarily attributable to higher expenses in 2010 due to a creation of our reserve for a $3 million note receivable and accrued interest relating to the sale of our publishing segment in 2003, partially offset by the increase in interactive expense and partial restoration of employee salaries in 2011. 
 Corporate expenses for the year were down 15% to $15.7 million compared to $18.4 million in 2010. The decrease was primarily attributable to higher expenses in 2010 due to the creation of that reserve note for $3 million, partially offset by the increase in interactive expenses and partial restoration of employee salaries in 2011. 
 Free cash flow, which we define as consolidated adjusted EBITDA minus CapEx, less cash interest, cash taxes and dividend payments, plus interest income for the quarter, was a negative $1.8 million or a negative $0.02 per share. Cash interest expense for the quarter was $8.7 million. Free cash flow for the year was $5.9 million or $0.07 per share. Cash interest expense for the year was $35.4 million. Cash CapEx for the quarter was $2 million. Cash capital expenditures for the year was $7.8 million. 
 Turning to our balance sheet, as of 12/31/2011 our total debt was $383.8 million, and our trailing 12-month consolidated adjusted EBITDA was $55.5 million. Our total debt-to-EBITDA, as adjusted, was 6.9x versus a maximum leverage covenant and a revolving credit facility of 7x at 12/31/11. Cash on the books was $58.7 million as of December 31, 2011. Net of cash in the books, total net leverage was 5.9x. 
 This concludes our formal remarks. Walter, Philip and I would be happy to take your questions. Jamie, I'll turn it  back over to you. 
Operator: [Operator Instructions] And our first question comes from Anil Gupta from Imperial Capital. 
Anil Gupta: So I had a few for you. One was, I guess starting with political, is there any way you could either talk about what you're seeing in the first quarter for political, and just kind of your outlook, I guess, for the rest of the year as qualitatively or quantitatively as you could? 
Walter Ulloa: Anil, the -- as I said in my earlier remarks, the -- our political projections for first quarter had started out slowly. The fact that we -- at least, the growth that we showed in January and February in our core advertising segments, we're certainly pleased with that growth. But the -- but political did start out slowly and most of that was due to the movement of the Texas primary from the first quarter to the second quarter. We had budgeted or projected a significant amount of political revenue in the first quarter from Texas. So now, that will be moved to second quarter, and we expect to capture most of that revenue from the Texas primary in the second quarter. We -- our total political revenue in 2008, which is the comparable cycle -- presidential cycle, was about $8 million, with about $6 million coming from television and about $2 million coming from radio. About 75% of that revenue was booked in the third and fourth quarters of 2008. So we expect pretty much the same type of, I'll call it, billing across the year in political like we saw in 2008, with the exception of what we've seen so far in Q1. But we expect our Q2 to be much more robust than our Q2 of 2008. Additionally, we were looking at -- we still continue to look at 2011 -- or '12, I should say, as a year where we expect to do somewhere between $10 million and $12 million of political revenue. So we -- and we based that upon a couple of data points. One, the importance of the 4 swing states that we occupy or have large Spanish-language media clusters: Colorado, Nevada, New Mexico and Florida. And the second data point is the increased importance of the Latino voter electorate. I'm sure you just saw the recent, I think it was Newsweek or TIME, where it had talked about how important the Latino vote is going to be to the outcome of this year's presidential election. So even though 2008, the Latino voter electorate played an important role in the election of President Obama, we think that in 2012, the Latino voter electorate will be even more important. And thirdly, we expect to see a lot more spending in our markets in 2012 from political campaigns, and we based that on all the information that's available that you're well aware of, the increased spending by the Super PACs, et cetera. And then finally, we put -- I think we're better prepared, better organized. We've got a better team than we ever had in terms of circling all the vertical revenue that's out there, and we're working closely with Univision as well. They have increased the people on their political team that are addressing this important revenue category. 
Anil Gupta: Great, a very good color. One more question. So in terms of additional networks coming into the industry, obviously, there was the MundoFox announcement earlier this year. And then there were some rumors about Disney potentially getting into the Hispanic markets. So any thoughts on that? And are you guys seeing any increased competition for advertisers? Any pricing pressure, obviously, with the trends that you've seen so far in the first quarter, it would seem that potentially your visibility is becoming a little bit better. But any sort of industry dynamic info you could give us there in terms of other people getting into the broadcast space? 
Walter Ulloa: Well, I don't know about visibility getting better. I mean, it's pretty much has remained the same in this quarter and in the fourth quarter of 2011 as it has over the past couple of years. But the increased competition you refer to, MundoFox, what -- the hope is that this new competition will increase the size of the advertising pie directed at the growing important Latino consumer, which is now a $1 trillion market and growing to $1.5 trillion a year in the next few years. That is what the hope is. But as far as competition's concerned, we've got great assets. The Univision brand is the #1 brand in Spanish-language television and has been for many, many years, and we've got solid positions in all of our markets, and we expect to continue to be the #1 Spanish-language television in every one of our markets through our Univision affiliations. 
Anil Gupta: Okay. And then in terms of, I guess kind of coupling on that, in terms of your growth over the past, I would say 2 to 3 quarters, I think you guys have commented a few times about some potential M&A opportunities that you've looked at again over the past few quarters. So the question would be how does that landscape look? Are you seeing anybody having difficulties or any sort of stations that you think may be coming up for sale or any sort of attractive opportunities on the interactive side? 
Walter Ulloa: To the broadcast question, M&A activity, there's -- every once in a while, we see an opportunity come across our desk here. We take a look at it. We see it, first of all, if it has any strategic relevance, and of course, then we look at the pricing and then how it might work through our different financial models that we have in place. I guess if we ran across an asset that could significantly help or support, improve one of our existing important media clusters, we certainly would look at it. A lot of our time right now is being spent on the latter question you asked, which is interactive and digital. And we're looking at ways that we might be able to add complementary businesses to our existing platform that provide advertising services, information and data to CMOs and marketers that want to reach the Latino consumers. So we're spending a lot of time there. And we hope to come up with some new ideas here that we might be able to talk about later in the year. 
Anil Gupta: And then the last question and I'll stop. Your bonds become callable, I believe, August of 2013. As we approach that date or as this year progresses, how do you guys think about what your position needs to be to get more favorable rates? Is there a certain leverage ratio you want to be at by then? Should we look for the company to kind of consider debt redemptions, either I mean, I guess at this point primarily through your 103 provision? And then any thoughts on doing another cash dividend at some point? 
Christopher Young: Anil, we'll look at uses of cash as we get deeper into the year here. We do have the triggers of the $40 million at 103. We've got the second window of 3 windows that closes on us, August 1, and then the third window opens up August 2. So there's always that option. And ultimately, from a leverage standpoint, the goal I think initially is to get below 6, and then ultimately live somewhere between the 4x to 5x range. So as far as dividends are concerned, we'll look at all options with respect to use of cash as we go. 
Operator: Our next question comes from James Dix from Wedbush. 
James Dix: Just a couple. It sounds to me like your business so far in the first quarter is pacing on a core basis fairly similar to the way you finished in the fourth. And I was wondering, based just on what we've seen with some of the other TV and radio station groups talking about maybe some slowdown and then pickup, whether you've seen any real significant fluctuations in your business over the past 5 months, or whether it's been fairly steady. And then I had a follow-up. 
Philip Wilkinson: Yes. James, it's Philip. We felt pretty good about fourth quarter and performed pretty well for us, both TV and radio, on the core side. And we saw that continue here year-to-date for the first 2 months. I think the only kind of blip on the screen was that January was a little bit softer than we expected. But February came roaring back back on the core side and our local actually finished up on TVs up 17%,  and on radio, our Feb was up 9, almost 10 points on local. So I mean, the takeaway is that we're very bullish about how well we're doing in local. That continues to be holding strong. Again, mid-teens in growth in TV and high single-digits in radio. And I think we're outperforming the market when I look at the TV [indiscernible]. R&D numbers aren't out yet. So we believe that will continue to grow. And auto really has been roaring back. We're up -- I guess Walter said, plus 39% and all makes are up on the TV side as a big growth category. We are seeing the telecom still slow, a couple of major advertisers. But the interesting thing is we're seeing healthcare grow, all but replacing that telecom drop. So we hope that continues, and the retail and the QSR continues to improve. So overall, good trends, I think for the top 10 TV stations out there in terms of billing for us, 8 are double-digit growth and all 10 are up. And I don't think we've seen that for a number of quarters. 
James Dix: Okay, great. That's very useful. And then, I guess maybe for you, Chris, any sense as to kind of the initial take at what operating expenses should be expected to grow in this environment, kind of for the full year? Are we kind of in a 2% to 4% zone or is it a little higher because you have costs in covering from news in this political cycle? Or anything else that you can add on just in terms of the cost outlook. 
Christopher Young: James, I'd put it somewhere in the 3% to 5% range, all in. There's obviously a variable function to what revenue does that will impact the total operating expenses, but that's a good range to use for the year. 
James Dix: Okay. And do you think there's any seasonality to it, just reflecting a little bit -- maybe a little bit more in the heavy political season? Or is it more just revenue-driven? 
Christopher Young: Yes, it's more revenue driven. I'm just looking at the balance of the year. Maybe some of that gets front-loaded a bit in the first half of the year compared to the second. Maybe, but again, it's a function of what revenue will do. 
James Dix: Okay. And then just 2 others. You talked about a number of your interactive initiatives, and I guess there's a number of different sides to them; displays, search, mobile, Busca. I mean, if you look -- if you put them all together, any sense of what the total revenue do you have from all of those initiatives combined is at this point? 
Christopher Young: Yes. We're -- it's not a separate reporting segment, so we're not going to break out the revenue yet. I mean, it's still less than 2.5% of our revenue and the goal. As we've said before is once it kind of crosses that threshold, we'll start breaking it out as a separate segment so... 
James Dix: Okay. And then with your debt, I just want to do one housekeeping thing. Expectations for kind of your interest expense run rate on a cash and a book basis going forward? 
Christopher Young: Interest expense, with the adjustment of $16.2 million, should be in kind of the, call it, the $34 million range for the year, if there are no changes to debt for the balance of the year. 
Operator: [Operator Instructions] And our next question comes from Michael Kupinski from Noble Financial. 
Michael Kupinski: I was just wondering, in terms of your pacing data that you provided us x political, seems pretty strong for the TV group. With the improving health of the TV advertising market, what is the lag time that you start to see radio pacings improve? Particularly, you indicated that local TV is showing the growth and certainly, radio gets most of its revenues from its local advertising, I would expect that at some point, we'd start to see some improvement in the piece and data for radio. Can you give us your thoughts on that? 
Walter Ulloa: Mike, the lag time is generally 3 to 6 months. And we're starting to see our radio business -- certainly local has been the strongest component of radio, and that's about 75% of the total revenue. National is lagging a little behind, at least farther behind than we'd like. But local remains very strong, effecting both from our TV and radio divisions. Local is leading the total company effort. 
Michael Kupinski: And the direct operating expenses in your television seemed a little higher than I expected. Maybe it's just my modeling, but I was just wondering if maybe some of your digital initiatives kind of hit in the quarter and what are your thoughts heading into the first quarter on direct operating expenses, particularly in television? 
Christopher Young: Well, operating expenses, for interactive, most of the operating expenses that go into interactive are running through radio. So that's not really going to be a big mover. I mean, we did have some incremental expense with respect to the change in the agreement with Univision. That's probably the biggest reason for the expenses being a little higher than they should normally be during the quarter. 
Michael Kupinski: Okay. And then SG&A was actually a little lighter. can you -- was there anything in that number that would have accounted for the being a little bit lighter? Or any unusual moving parts in that number? 
Christopher Young: No. I think you had the -- in the fourth quarter last year, the comps were a bit higher. We had some bad debt numbers that were a little higher this time last year that comped favorably against this time around so... 
Operator: Our next question comes from John Kornreich from J.K. Media. 
John Kornreich: A couple of real quickies. What could CapEx be this year? I mean, yes, 2012, sorry. 
Christopher Young: CapEx will be in the range of about $9 million. 
John Kornreich: Okay. If there's a pretty big step up in EBITDA these year, which it will be, could the $1.2 million in cash taxes jump as--to as high as $5 million? 
Christopher Young: No. I mean, the tax is there, basically driven off local and state. The federal NOLs that we've got are more than sufficient to carry the federal number on the expense side that's close to zero for the balance of the year. 
John Kornreich: Okay. So maybe $2 million or $3 million? 
Christopher Young: No. I didn't say $2 million or $3 million. I basically said -- I don't expect cash taxes to be anything material over what they were this year. 
John Kornreich: Okay. Could you just say again what is the maximum amount of bonds you could repurchase this year if you had the cash flow to do it, what? 
Christopher Young: $40 million through August at 103. 
John Kornreich: Okay. Is there any hope of getting the banks to look at net leverage? 
Christopher Young: Well, we changed -- we did an amendment to our credit facility about 1.5 weeks ago, and if we had drawn on the line, there's applications. But there are no covenants if we don't draw on the line. It's kind of moot. 
John Kornreich: Okay. So between the $60 million of cash and my estimate, the $50 million of free cash flow, there's -- I would think there's no reason you couldn't try to get to the max $40 million repurchase? 
Christopher Young: Using your numbers and your math, there's no reason we couldn't in theory. 
John Kornreich: Walter, you've heard from -- this from me before, and so has Chris ad nauseam, but on the subject of nauseam, how a company at a 6.9 leverage, 0.1 point off of a potential ceiling can even be discussing M&A is absolutely beyond me and I think it scares investors like crazy. That's my comment. 
Walter Ulloa: Okay, John. Thank you for your comment. 
Operator: And our next question comes from Bishop Cheen from Wells Fargo. 
Bishop Cheen: Actually, if you found the right kind of acquisition, I'm not saying you could, you can be de-levering. At least that's been the mantra from Lew Dickey. But that is another story for another time. Okay, you guys have given great color, so just a few quickie questions because we all want to go home. The buyback in Q4, $16.2 million face, how much did you pay for that $16.2 million in bonds? 
Christopher Young: The all-in price was just a hair above $99. 
Bishop Cheen: So it was close. They were all priced above $99? 
Christopher Young: No. There was some below $99. All, in the average, was just a hair over $99. 
Christopher Young: Just a hair over $99, right  okay. And does that count for the 103 provision for the -- in an LTM period, $40 million goes through August, right? 
Christopher Young: Yes, that's right. And it does not count towards that $40 million basket. 
Bishop Cheen: Okay. And the reason you did it that way, well obviously, because you bought it below 103. 
Christopher Young: Yes, I mean, there was a market opportunity, and we wanted to take advantage of it. We've done it before and seemed make sense. 
Bishop Cheen: I don't blame you. Okay. And in the current Q1, have you repurchased any more bonds in the open market? 
Christopher Young: We have not. 
Bishop Cheen: Okay. Your revolver capacity still remains at $50 million. I think you got that small amendment or waiver back in January. 
Christopher Young: Yes. The capacity is actually $25 million if our leverage is over 6.5x, but we have access to $25 million of the $50 million and correct that amendment basically allows the financial covenants not to apply if the line's not drawn. 
Bishop Cheen: Right. So it's a glass covenant. We see it, but we really don't touch it. Even if the step-downs go into effect, theoretically remain the same. I think you are now into a step-down... 
Christopher Young: No. Step-down has changed. So the total step-down bond was supposed to be 6.75x. And that will stay at 7 for the life of the facility. 
Bishop Cheen: So there's no more 6.75 and then 6.25 thereafter? 
Christopher Young: They're gone. 
Bishop Cheen: Okay, alright. And then a housekeeping thing on retrans, I think I've got this 13.7 in 2010. What was retrans in 2011? 
Christopher Young: 17.1. 
Bishop Cheen: 17.1. 
Christopher Young: Correct. 
Bishop Cheen: And then as I remember, I think you still have some room for upside in that. Aren't you still have some other contracts that ramp up and that you're inking? 
Christopher Young: Well, we've -- let me answer it this way. We do expect some upside this year in our retrans revenue growth, somewhere in the neighborhood of 10% is kind of where we think we'll wind up. But we -- our proxy's with Univision and so as the contracts come up, they'll be working with the MVPDs and with us to reach a satisfactory negotiation. We also have some retrans agreements outside of our Univision stations and proxy with Univision that we negotiate separately, including a couple of Fox affiliates that we own in South Texas. 
Bishop Cheen: Okay. And last, look, I know digital is important and you are not unlike any other savvy media company that tries to focus on it, talk about it and think about it. But just so I know how things are developing, at this point, the actual EBITDA contribution, I mean, you don't even really break out the revenue contribution of digital. So we're still in a single-digit mode on the top line and probably de minimis in terms of a cash flow? Is that a safe... 
Christopher Young: Bishop, we're not going to break out any components of -- It's got to be a separate reporting segment for us to really clarify those issues, so stay tuned. 
Operator: And at this time, I'm showing no additional questions. I'd like to turn the conference call back over to management for any closing remarks. 
Walter Ulloa: Thank you, Jamie. This concludes our fourth quarter and full year 2011 earnings conference call. Thank you, everyone, for your participation. We look forward to reporting our 2012 first quarter earnings results in May of this year. Thanks again. Goodbye. 
Operator: We thank you for participating in the Entravision Communications Corporation Conference Call. This concludes today's event. You may now disconnect your telephone lines.